Operator: Hello, everyone, and welcome to A10 Networks' Fourth Quarter and Full Year 2024 Financial Results Call. My name is Lydia, and I'll be your operator today. After the prepared remarks’, there will be an opportunity to ask questions. [Operator Instructions] I'll now hand you over to Tom Baumann at FNK IR to begin. Please go ahead.
Tom Baumann: Thank you all for joining us today. This call is being recorded and webcast live and may be accessed for at least 90 days via the A10 Networks website at a10networks.com. Hosting the call today are Dhrupad Trivedi, A10's President and CEO; and CFO, Brian Becker. Before we begin, I would like to remind you that shortly after the market closed today, A10 Networks issued a press release announcing its fourth quarter and full year 2024 financial results. Additionally, A10 published a presentation and supplemental trended financial statements. You may access the press release, presentation and trended financial statements on the Investor Relations section of the company's website. During the course of today's call, management will make forward-looking statements, including statements regarding projections for future operating results, demand, industry and customer trends, strategy, potential new products and solutions, our capital allocation strategy, profitability, expenses and investments, positioning and our dividend program. These statements are based on current expectations and beliefs as of today, February 4, 2025. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control that could cause actual results to differ materially, and you should not rely on them as predictions of future events. A10 does not intend to update information contained in these forward-looking statements whether as a result of new information, future events or otherwise, unless required by law. For a more detailed description of these risks and uncertainties, please refer to our most recent 10-K and quarterly report on Form 10-Q. Please note that with the exception of revenue, financial measures discussed today are on a non-GAAP basis and have been adjusted to exclude certain charges. The non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP and may be different from non-GAAP financial measures presented by other companies. A reconciliation between GAAP and non-GAAP measures can be found in the press release issued today and on the trended quarterly financial statements posted on the company's website. Now I'd like to turn the call over to Dhrupad Trivedi, President and CEO of A10 Networks.
Dhrupad Trivedi: Thank you, Tom, and thank you all for joining us today. A10 ended the 2024 year, delivering 5% growth for the quarter and 4% growth for the year as our service provider marketplace continues to normalize and we are making the expected progress to expand our presence with enterprise customers. We enter 2025, expecting the current trends around service providers to continue and deliver continued growth with enterprise customers. Our optimism is bolstered by an improving competitive position with both customer segments and the recognition that security and AI-related investments are increasingly serving as a catalyst for spending. We believe that A10's offering is exceedingly well aligned with both of these secular trends. For service providers, the need to expand AI data centers continues. Data centers are incredibly hungry for power and the availability and cost of reliable electricity are considerations for locations and logistics. As a result, we are seeing accelerating interest in A10 solution as part of AI data center development. Our products provide industry-leading efficiency in terms of throughput and low latency and also include integrated security capabilities. The result is that service provider customers need fewer A10 products compared to competitive offerings, materially reducing the power consumption without sacrificing performance. This is serving not only as a catalyst for our business, but also as a meaningful competitive advantage. Combined with the expected backfill of spending following the pauses we experienced last year, we are seeing an improving pipeline from North American service provider customers. We expect this to continue while short-term quarter-to-quarter volatility in spending patterns may persist. I am encouraged that service provider revenue was up 2.5% for the year considering that it was down nearly 8% through the first 6 months of the year. The turnaround in the second half, while expected, is a positive indicator heading into 2025. On the enterprise customer side, we responded to the slowdown in spending from service providers by accelerating investments to drive demand from enterprise. This initiative was successful as we grew revenue from enterprise customers faster at 6% for the year, then we did consolidated revenue at 4%. We have a compelling offering to enterprise customers and we are investing heavily to further expand and bolster our suite of solutions, particularly to align with AI trends. Most of these investments are the culmination of several years of innovation and engineering, and we are just now beginning to see the benefits. We are developing additional solutions for Bot Protection, DDoS mitigation and technologies that are designed specifically for GPU-based AI infrastructure. We will integrate AI to predict performance with our solutions and with A10 control, we will enable centralized management for all A10 products. Within A10 Defend, our cybersecurity suite we continue to develop solutions that will help our customers protect their mission critical applications and infrastructure from an ever-growing number of cyber threats. We anticipate an improving pipeline related to these investments in 2025. AI has become an important near-term catalyst for our business, and we are strong and getting stronger in this area. This, combined with our focus on cybersecurity solutions continues to play a role in our growth. Security led revenue increased 6% for the quarter and 9% for the year. Our focus on security continues to make our solutions less optional, mitigating the impact of short-term fluctuations in spending priorities and enabling A10 to outperform our peer group. We had previously stated, our long-term goal was to drive 65% of our revenue from security-led solutions and for the full year, security represented 63% of revenue. I think it's also worth noting that in Q4, we delivered growth in all key regions. North America, Asia Pacific, Japan and EMEA. For the past year, we had been stating that demand was consistent in EMEA and Japan, but soft in North America. That trend has begun to correct in line with the improving market conditions for North American service providers, as previously mentioned, and validating the strength of our technical solutions in all markets. Our priorities continue to be a mix of internal investments to support revenue generation, returning capital to shareholders and evaluating strategic opportunities to accelerate growth. I spoke in detail about the internal investment related to our long-term cybersecurity blueprint in the last earnings call. Simultaneously, we continue to consistently return significant capital to shareholders. In spite of a challenging macro environment, our strong second half performance continues to demonstrate the earnings power of our business model. We maintained robust profitability in line and slightly ahead of our targets in the quarter. Our strong results also enabled us to support our R&D investments while simultaneously accelerating our cash generation, ending the year with nearly $200 million in cash and marketable securities even as we return significant capital to shareholders. We have continued to buy back stock and our cash flow has more than funded our buyback and dividend programs. With that, I'd like to turn the call over to Brian for a detailed review of the quarter and the year. Brian?
Brian Becker: Thank you, Dhrupad. Fourth quarter revenue was $74.2 million, an increase of 5.4% year-over-year. The growth was broad-based with enterprise revenue increasing 8% faster than consolidated revenue and service provider revenue increasing 4%. The results reflect the continued normalization of service provider spending patterns and the investments we made in the enterprise segment. Quarter-to-date volatility in North America service provider sector persists, but the overall trends are increasingly positive. Product revenue for the quarter was $43.3 million, representing 58% of total revenue. Services revenue was $30.9 million or 42% of total revenue. Deferred revenue increased 5% to $148.3 million, demonstrating stronger product sales in the fourth quarter and continued demand for our security-led solutions. The exception of revenue, all of the metrics discussed on this call are on a non-GAAP basis, unless otherwise stated. A full reconciliation of GAAP to non-GAAP results are provided in our press release and on our website. Gross margin in the fourth quarter was 80.7%, in line with our stated goals of 80% to 82%. Adjusted EBITDA was $27.4 million (ph) for the quarter, reflecting 36.8% of revenue. Non-GAAP net income for the quarter was $23 million or $0.31 per diluted share compared to $18.5 million or $0.25 per diluted share in the year ago quarter. Diluted weighted shares used for computing non-GAAP EPS for the fourth quarter were approximately 75 million shares, effectively unchanged year-over-year. On a GAAP basis, net income for the quarter was $18.3 million or $0.24 per diluted share compared to net income of $17.9 million or $0.24 per diluted share in the year ago quarter. We recorded a onetime gain in OI&E of $3 million in the fourth quarter. Adjusted for this onetime event, our non-GAAP EPS for the quarter would have been $0.27 per diluted share. Turning to the full year results. Revenue was $261.7 million, up 4% year-over-year. Year-to-date non-GAAP gross margin was $81.2 million (ph), in line with our target range and adjusted EBITDA was $74.5 million, reflecting 28.5% of revenue. Non-GAAP net income for the year was $64.8 million or $0.86 per diluted share, up from $54.9 million or $0.73 per diluted share last year. Adjusted for the nonrecurring gain in OI&E discussed earlier, our non-GAAP EPS for the year would have been approximately $0.82 per diluted share. On a GAAP basis, net income for the year was $50.1 million or $0.67 per diluted share compared with net income of $40 million or $0.53 per diluted share. During the year, we generated $90.5 million in cash from operations ahead of our full year targets. Cash generation benefited from the timing of OpEx and working capital mix, and we anticipate future cash generation to be more in line with historical patterns. Turning to the balance sheet. As of December 31, 2024, we had $195.6 million of total cash, cash equivalents and marketable securities compared to $159.3 million at the end of 2023. During the quarter, we paid $4.4 million in cash dividends and repurchased $5.8 million worth of shares. We also continue to carry no debt. The Board has approved a quarterly cash dividend of $0.06 per share to be paid on March 3, 2025, to shareholders of record on February 14, 2025. We have $44.2 million remaining of our $50 million share repurchase authorization as of December 31. We continue to target gross margins of 80% to 82% and adjusted EBITDA margins of 26% to 28% on a full year basis. I'll now turn the call back over to Dhrupad for closing comments.
Dhrupad Trivedi: Thank you, Brian. This was a solid year for A10 with strong performance in the second half of the year, reflecting the ongoing normalization of service provider spending and consistent enterprise growth as a result of the strategic investments we made in this portion of our business. We are navigating market volatility successfully due to our focus on security solutions, our tight alignment with AI trends and our strategic diversification. Our investments in R&D are expected to result in additional solutions leveraging our growing position in the cybersecurity sector, further enhancing our growth profile. We have consistently proven the ability to convert incremental revenue into significantly higher profitability levels, and we expect that to continue as we enter 2025. Operator, you can now open the call up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Gray Powell with BTIG. Please go ahead. Your line is open.
Gray Powell: Okay. Great. Thanks for taking the question and congratulations on the very solid looking results.
Dhrupad Trivedi: Thank you, Gray.
Gray Powell: So yeah, yes, absolutely. Yeah. Maybe just to get into it. Just looking at the Q4 numbers, I'd be curious like how did seasonality in Q4 compared to the last couple of years? Did you see a normal budget flush? And just any dynamics there that you could talk about would be helpful.
Dhrupad Trivedi: Yeah. I'll start off, and Brian can add to it. So I think I would say that seasonality that we saw in Q4, it's probably consistent with previous years, but we saw less of a budget flush phenomenon this time around. And I would say this was probably just an extension of the idea that through the year, right, we were seeing increased kind of signatures and scrutiny around spending and CapEx as well as OpEx. And so we did not see maybe as much of that year-end activity. But when you look at our seasonal pattern, it was pretty consistent with previous years as well.
Gray Powell: Understood. Okay. I’m sorry go ahead.
Brian Becker: Yeah. Apologies. I just wanted to add that it's in line with our typical seasonality pattern of 52% on back half, 48% on front half.
Dhrupad Trivedi: Yeah, 48%, 52%.
Gray Powell: Okay. Understood. And then -- all right. So then you called out some new products coming up this year. Can you just repeat like just the products again, I think it's Bot Protection, something around DDoS and products protect GPU-based AI infrastructure. I guess I'm just trying to -- the question is, how should we think about the timing of those products coming to market? And then just what's the excitement level around them? Like could it drive upside to revenue this year?
Dhrupad Trivedi: Yeah. Good questions. And maybe what I'll answer that, Gray, I would segment that between sort of our security products and then products that are influenced by AI spending, right, a little separate. So on the security side, I would say what we are focused on is really expanding the categories we can provide to customers with still a common way to manage and run them right. And so within that category, we are improving our DDoS detection and mitigation products, adding things like bot management, which may be adjacent to those categories. And this is kind of ongoing expansion that you should see play out in second, third, fourth quarter of this year, that basically does two things, improves our competitive position, but at the same time, gives us a natural way to scale our security platform where we have done the work on the kind of foundation and the management layer already, right? So those, I would say, are in the next six to 12 month window, we should start seeing those as enhancing our security story incrementally as well. As it relates to some of the AI-oriented products, I would say, on the first layer where people are building new data centers to support AI traffic. We will probably see that impact as a positive thing in 2025, probably, again, towards the second half of the year. But the excitement around that is really that when they are building these data centers, things like throughput, latency, connectivity are more important. So our advantages as it relates to those attributes are a direct advantage then. So -- and the data point for us is customers are engaged with us in reviewing those kind of build-out plans, right? And that is current products as well as kind of road map. Second layer of it is using AI to develop capabilities like predictive analytics is, I would say, customer excitement is good. But the deployment cycle is probably a little bit further out. And the reason for that is, as we have said before, there is a way of -- there is a massive build-out of AI. But then the real business is when enterprises are doing their local deployment of it local, learning centers and inference models. And our engagement is with customers, right, who are using AI, not necessarily just building them today. So that's positive traction, but that is aligned more with the wave of mass adoption of AI versus just a massive initial buildout, if that makes sense.
Gray Powell: Yes. That’s very helpful. Okay. Thank you very much.
Dhrupad Trivedi: Yeah. Thanks.
Operator: Our next question comes from Christian Schwab with Craig-Hallum. Please go ahead.
Tyler Burmeister: Hey, guys. This is Tyler on behalf of Christian. Thanks for letting us a few questions. Maybe first, just following up on that last question. Could you break out what's your AI revenue both to the customers, building their own AI data centers and then selling your AI-enabled products, kind of what that is at a baseline now and how you see that growing, maybe what it could be at the end of the year out a couple of years?
Dhrupad Trivedi: Yeah. I think -- thank you, Tyler. That's a good question. It's something we'll have to figure out how to depict that view. And the reason for that is our current products are actually being used for those applications as well. So it's not necessarily linked to releasing new products that go into those build-outs. As it relates to products that are designed around inspecting and mitigating AI-oriented threats as well as analytics. I think that's early in the cycle, and I think we will have to come back maybe in the next quarter with a view of how we want to communicate that in terms of number of customers or funnel growth and things like that, right, because it's not going to convert to revenue in the next 2 periods.
Tyler Burmeister: Okay. Yeah. Fair enough. So then maybe as you think about the full year '25 here, with service providers normalizing continued traction with the enterprise customers, these AI opportunities layering in as well, kind of a backfill like you mentioned or maybe a catch-up in some of these. Could it be possible that you're able to drive growth in '25 ahead of that 10% to 12% longer-term growth number that you're targeting?
Dhrupad Trivedi: Yeah. So I think for 2025, right, I would say, this year, we were able to get back to 4% with that normalization of market. We are continuing to understand the impact of things that are outside of our control, like what can happen with interest rates, tariffs, everything else. But what we do know is we are on a positive trajectory in terms of versus last year to this year to next year. And as we go through 2025, right, we expect in the middle of the year to maybe have a better view if it can be better. But right now, I think we feel confident with where people are expecting us to be and still navigating some of these macro things that are outside our control.
Tyler Burmeister: Okay. That sounds great. And then last one, maybe for Brian. On OpEx, it fluctuated a little bit quarter-to-quarter through this last year, but with it being down almost $4 million sequentially, I guess, from Q3 to Q4, like $35.5 million non-GAAP Q4 number, could you help maybe level set us on OpEx, what kind of run rate we should be thinking about heading into '25?
Brian Becker: Yeah, of course. I mean, to your point, $149 million of OpEx for '24 on a non-GAAP basis. Looking forward, I mean, we're talking about AI. We're talking about products that we are innovating and developing for introduction in 2025. So I think the obvious point is that we're not going to continue the same run rate as a percent of revenue. You could expect it to pick up, not materially, but to some level, just because that's going to reflect the investments we're making in cybersecurity and infrastructure products, not only with our existing portfolio, but then also with AI opportunities that are in the market.
Dhrupad Trivedi: Yeah. And maybe to add to that, Tyler, right, our long-term goals are saying gross margin of 80% to 82% and EBITDA 26% to 28% are still valid, right? But we are investing within that envelope for growth as well.
Tyler Burmeister: Right. That’s all for us. Thanks, guys.
Dhrupad Trivedi: Thanks, Tyler.
Operator: Thank you. Our next question comes from Hamed Khorsand with BWS. Please go ahead.
Hamed Khorsand: Hi. So first question was the orders that you were seeing from the North American service providers, was that merely just an upgrade or tack-ons to orders that you we're receiving maybe a year or two years ago, and these are just purely because of constraints in their system or are these brand-new sales expansion as far as A10's roll goals?
Dhrupad Trivedi: Yeah. No, good question, Hamed. So I would say it was the mix. I think there were definitely orders that were related to new kind of build-outs and new data centers or network. And then with some of those customers as they continue to operate network based on capacity, they buy a little bit up or down. So -- but we were certainly seeing more of the new build-out orders in Q4 than we did any other quarter this year -- or sorry, previous year. Yeah.
Hamed Khorsand: All right. And then as far as the enterprise is concerned, are the customers coming to you and asking you for these AI solutions or is that more of a competitive threat that you feel like you need to be ahead of the game here?
Dhrupad Trivedi: So I would say that the way we are approaching that is that AI is integrated into pretty much all of our product road map. So when they are buying a security product, the natural extensions are then inclusive in the future of AI traffic detection, unique threats, managing all of that. So for us, AI is just a new capability we are enabling them with. And you are correct, the conversations with customers today are more about them partnering with us on the road map and their long-term goals more so than sort of a competitive bid against some other business here.
Hamed Khorsand: And then, Brian, your accounts receivable is up in this quarter. Is it safe to assume that many -- much of the order of revenues came in towards the end of the quarter?
Brian Becker: Yeah. Good question. I mean, as you could see, we had pretty significant success in driving cash flow during the quarter as well as building working capital. But yes, you're exactly right. I mean, kind of like what Gray mentioned earlier, we saw a pretty significant increase in the amount of revenue balance in the back half, and that's reflective in the AR balance going up about the same rate that you see revenue. But yes, absolutely, it's linearity. It's normal course of business for us. We always expect to have a pretty significant accounts receivable balance walking out of Q4 when compared to the prior quarters.
Hamed Khorsand: Okay. Thank you.
Brian Becker: Thank you, Hamed.
Operator: Thank you. And our next question comes from Anja Soderstrom with Sidoti & Co. Your line is open.
Anja Soderstrom: Thank you for taking my questions and congrats on the nice progress here. Just wondering for the product revenue, we saw good growth there. How long is the lag before that starts to benefit the services revenue?
Brian Becker: Yeah. I mean, nothing has really changed in our business model. Our average contract term is about two years. So simple rough math when we do product sales growth you expect that that's a lead indicator for services growth. And I think you can see that in the services line as well as deferred revenue. Deferred revenue was up at almost the same rate as total revenue, which we would expect. But yes, I think to your question, it's a two year run out on average. So as you see product revenue growth today, then you'll expect in the following year, the same growth rate in the services revenue line.
Anja Soderstrom: Okay. Thank you. And the margin -- the gross margin for the products were a bit softer. What's going on there?
Brian Becker: Yeah. This is -- as we get through the end of the year, we get a lot of long-term projects that we've been working through and it depends on the region. It depends on the customer mix, whether they're buying software, hardware, there's all kinds of factors. But in this case, I mean, the change in gross margin is simply reflected of geographic and product mix.
Anja Soderstrom: Okay. Thank you.
Dhrupad Trivedi: Yeah. I think it -- yes, that's why -- yes, sorry. And that's why when we say 80% to 82%, that's reflective of accommodating that regional and product mix.
Anja Soderstrom: Okay. Thank you. And are you at all affected by tariffs in terms of the products?
Brian Becker: No, we will be. I mean once that's locked in and we can expect what the impact will be, we're absolutely not impervious to the impact of tariff hikes in different regions from a procurement perspective, and then I'm sure that will put pressure on sales price in other regions, but to be determined. I think as we always talk about over the last five years is these are headwinds that we anticipate and expect in our operating plan, and we always deploy countermeasures to overcome those to deliver the results you see.
Dhrupad Trivedi: And maybe specifically -- yes. So, I was just going to add one thing and Brian can talk to it. But remember, right now, we are talking about three major regions, right? And if you recall, we had made the decision and we don't have any exposure in China market, right? So that's not something that we have deliberately made that decision. Obviously, we have business in Canada and Mexico, but it's not as large as most other countries. So we will continue to monitor what the puts and takes are on those. But as Brian said, obviously, we don't know what we don't know yet.
Brian Becker: And I think to your follow-on question in terms of passing through those costs, I mean, it's case-by-case basis. I mean we're not -- wholesale raise prices to overcome challenges. We typically deploy countermeasures internally to find cost savings that we can pass on to our customers. But yes, this won't be an indicator of a price increase globally.
Anja Soderstrom: Okay. Thank you. And then within EMEA, you said that was doing well for you. But can you just talk about Europe specifically, what you see there?
Dhrupad Trivedi: Yeah. So I think when we talk about Europe, right, I think we typically internally look at it in three pieces. So there is core Europe, emerging, right, Europe and then Middle East. And I think when we see the business there, we saw our business in Europe continued to be pretty stable business in the Middle East is mixed across countries. So some countries are fine, some are not. But if you look at the core Europe and what you normally think of as northern parts of Europe, we continue to build our business pretty constantly over there. So we see that as good market for both service provider and enterprise growth.
Anja Soderstrom: Okay. And then just one last one in terms of strategic opportunities, how active are you looking for that? And have you seen any changes there in sort of the activities?
Dhrupad Trivedi: Yeah. So of course, I think as the market has changed and companies have gotten kind of rerated on multiples and things like that. We see a lot of inbound ideas as well as companies looking for a strategic fit. And so we are pretty actively looking at those. And as we said before, our focus is on things that accelerate our strategic goals around enterprise, security and things like that. And we'll continue to look at them, but we are pretty actively involved with looking at product gap fills as well as technology as well as market expansion.
Anja Soderstrom: Okay. Thank you. That’s all from me.
Dhrupad Trivedi: Thank you, Anja.
Operator: Thank you. We have no further questions. So I'd like to turn the call back over to Dhrupad for any closing comments.
Dhrupad Trivedi: Thank you. Thank you all, and thanks to all our shareholders for joining us today and for your continued support. Thanks.
Operator: This concludes our call today. Thank you very much for joining. You may now disconnect your lines.